Operator: Good morning, good afternoon everyone. Please note that today's material and presentation are available under our zegnagroup.com website. Joining us today, the Ermenegildo Zegna Group leadership team. Before we begin, I need to point out that we will make certain forward-looking statements during today's call. Our actual results may be materially different from those expressed or implied by these forward-looking statements. Also, statements are subject to a number of risks and uncertainties, including those described in our SEC filings. Please refer to the forward-looking statements cautionary statement included at Page 2 of today's presentation. I'll now hand over to Gildo Zegna, Group Chairman and CEO.
Ermenegildo Zegna : Good morning and good afternoon. And thank you for joining today conference call on Ermenegildo Zegna Group, H1 2024 results. Before we speak about the numbers, let me make some comments on the sector and our strategy and then I'll let Gianluca to go in details through our results. So far, 2024 has been challenging around the world and across many industries, including ours. The luxury sector is experiencing a deep normalization phase. These cycles happen, we have been through them before in our more than 100 years of history. And I know they might happen again in the future. It is our job to deal with them with pre-decision and sharp actions, not only to handle the current situation, but also if possible to come out stronger. This is what we did during COVID when we launched the One Brand strategy for Zegna. This is what we are doing now with some important action for all our brands. At Zegna, we are doubling down on the One Brand strategy. We are evolving our communication from a broad audience approach to a targeted audience approach to engage deeper with our community of value customer. We are evolving our clientele from relation into experience. And we are evolving our collections from lifestyle to icons, as we did with our [Super Stitch] (ph) shoe collection. VILLA Zegna New York, the second chapter after [Villa ZEGNA] (ph), Shanghai, it is a clear example of the direction we've taken. Two weeks ago, we celebrated with an immersive experience, a journey that our Founder, my grandfather, took in 1938 above the ocean liner 'Rex' to reach New York City to meet Italian tailors and started our group's American [Blue Pageant] (ph). VILLA Zegna New York were designed to celebrate Zegna’s heritage through a series of innovative invite-only on-site events. During the five days, we welcome our VILLA existing and prospect important clients from the all -- America, also by having a [quality team] (ph) closely and effectively collaborating with the local team. We present a [strategy] (ph) product available only to the invited guests. And I must say it was a great success exceeding the team and my own expectations, clearly indicating once more that we are walking on the right path. Alongside this event, we presented our Fall 2024 Capsule Collection worldwide, introducing the ll Conte jacket the iconic garment inspired by the [Owner of Zegna] (ph) of Founder himself. VILLA Zegna Chapters will continue in 2025 with new important locations and events around the world. But not only VILLA Zegna, next year we will also inaugurate our third Salotto Zegna, the best corner of New York. Our Salotto will be a permanent private room where our clients will feel to be at home and to experience once more the unique legacy of Zegna brand. Moving to Thom Browne. With Rodrigo Bazan as CEO and with Thom himself, we are making significant changes and are reinforcing the managing team to strengthen the organization. This is the case not only in China, where the brand is experiencing some challenges, but also at headquarter level and in other regions. New leadership in marketing has been appointed in May, a new leadership in merchandising arrive before year-end. The team is working on communicating both the creativity, but also the commercial range of products the brand was successfully developed last year. From Fall/Winter 2024, we start to see the marketing on product to complement the increase in brand awareness and the success of the women's business of the seasonal collection, as well as accessories, in particular, in Japan and Korea are early signs that we are taking the right actions. With a network of more than 100 doors, we are focusing on strengthen the local teams in China and North America, as we have done in Japan and Korea in previous years, and the results clearly show so and we have also secured some important flagship locations to be opened in the forthcoming months that is New York City, L.A. and Tokyo. We continue to balance the channel mix while at the same time, our wholesale streamlining is ongoing. Let us more comment on the Thom Browne and the VILLA’s case. Given that after US, recently also the German court ruled in favor of Thom Browne, a great achievement for the team and the bigger work of their efforts. I believe 2024 will remain challenging for the brand, but I also believe that with Thom Browne management, we are taking the right steps to prepare a healthy DTC growth trajectory in '25 and beyond. Last, by no means least, the new Tom Ford Creative Director. As you know, along with [State Label Corporation] (ph), we announced that Haider Ackermann the new Creative Director for Tom Ford, either the knowledge of the luxury goods sector, his superior creativity and wide experience on the luxury ready-to-wear for both men and women makes him a perfect fit to take the lead on Tom Ford Fashion. I'm strongly confident that with his contribution, we will deliver on our long-term ambition. But before I close, I also want to mention our Filiera. 2024 has been so far impacted by the overall soft demand for luxury ready-to-wear. Our cutting-edge in innovation and high-quality production capacity makes our platform more resilient and the unique advantage for the group. We continue to invest in our Filiera and for this reason, we fully confirm the important project of a new Italian shoe and leather accessory plant in Parma, Italy to strengthen our international, -- our internal production in leather. These are all important long-term project for the group. To pursue them, we will continue on selectively invest in our brand, in talent, in our organization and in the retail network. Even if this would cause short-term sacrifices, they are critical to support our long-term ambition. Let me close with some observations from our recent visit to China, Japan, United States and Canada. I do believe that we all record that the situation remains difficult. August performance have been even more challenging and 2025 is expected to remain uncertain, but during my trips, I’ve been reassured by what I've seen. Whether when visiting our stores or in the meeting with lenders and with main wholesale partners. The energy of our people and the trust from our partners for all our three brands make me confident about the future and that we have the correct strategy to unleash their untapped growth potential. Thank you. And now let me turn over to Gianluca. [Gianluca over to you] (ph).
Gianluca Tagliabue: Thank you, Gildo. Good afternoon, everybody. Let me move to Page 8 of the presentation, where you find the first half '24 results key highlights. The preliminary revenues for H1 '24 were already disclosed at the end of July. So they confirm then they will not comment much further on that. I'll just remind you that in the semester, we reported 6% growth year-over-year growth, driven by the Zegna brand and by the consolidation of Tom Ford fashion that, as you know, entered in our perimeter last year on April 29, 2023. Therefore, in all the results you see today in this presentation, Tom Ford fashion performance compares six months consolidated this year versus at two months and two days consolidated last year. In the first semester of 2024, the group generated EUR637 million of gross profit, EUR81 million of adjusted EBIT, EUR31 million of profit intended as net profit. I will not add many comments at this point since in the next pages, we will go more in detail on the dynamics and analysis of this results. So let's move to Page 9 to deep dive on the main metrics of our P&L. Starting with gross profit. In H1 of this year, gross profit rose by 10 percentage points to EUR637 million with a margin of 66.4% on the revenues. The 220 basis points improvement from H1 of last year has been driven mostly by two factors: first, a better channel mix given that the DTC revenues generated this year's 76% of branded revenues vis-a-vis 72% a year ago. And as you all know, DTC gross margin is longer than the wholesale one. And second factor is a better inventory management. Channel mix, the first of the two factors is estimated to justify around half of the gross profit margin improvement being the other 50% driven by the inventory side. I would also remind you that H1 '24 cost of sales includes still EUR3 million from the PPA purchase price allocation-related charges from the Tom Ford fashion consolidation. The absolute amount is similar to the one that we have booked in the first half of last year, which was $4 million. And this one -- this year, the $3 million of this year is the last tranche of the PPA charges from the acquisition of Tom Ford business. namely Tom Ford international, that is the holding company that owns the 20-plus 10-year license agreement on the Tom Ford Fashion business. Moving now to SG&A. Selling, general and administrative in H1 of this year reached EUR498 million with a 51.8% incidence of revenue compared to 46% last year. Dipping now down on this increase in terms of SG&A incidence over revenues, I would like to underline two factors. First, the Tom Ford consolidation contributed to almost half of the incident increase. Tom Ford Fashion SG&A incidence is affected on one side by the royalty fees that Tom Ford Fashion pays to a [sell other] (ph) and by the amortization of the right of use of the license agreement over 20 plus 10 years. This amortization is roughly $1.7 million in six months, $3.4 million over a year. And on the other side, the other factor affecting the incidents is the step-up within Tom Ford Fashion of organizational systems after we took over the business. The second relevant item that affects the SG&A group incidence is the impact deriving from brand expansion initiatives both in terms of business structure and the newly opened stores, especially on the Zegna and Thom Browne side, which includes, I remind you also the conversion of Korean mono-brand stores to DTC. Also, given the current environment, we observed that some of the stores newly opened is experiencing a slower ramp up to their full potential. Analyzing now the marketing expenses. Marketing expenses increased to 7% of our revenues this semester compared to 5.3% in H1 of last year. As already anticipated, this increase is largely linked to a different timing in the advertising cost, given that in H1 '24, the group and Zegna brand, in particular, had many events concentrated in the first six months of this year -- for instance, the Oasi ZEGNA take over in Milan, VILLA Zegna Shanghai, the amplification that was very intense around the Second Skin collection launch and the fashion show of Tom Ford, which last year did exit -- but not existed in our permit. Let's now move to Page 10 of the presentation where we reported the adjusted EBIT for the group and by segment. As you know, the main performance metric used by the management to analyze the economic performance of the business, at group and that segment level is the adjusted EBIT and its related adjusted EBIT margin. You can find all the reconciliation in the Appendix of the presentation. And I remind that the difference between the adjusted EBIT and the operating profit reported in the P&L page -- at page 11, relates to adjustments that do not impact our underlying operating activities. And regarding these six months are entirely related to SG&A expenses. As I already mentioned in H1, our adjusted EBITDA reached $81 million, down 33% compared to H1 of last year. This performance has been impacted namely by the top-line decline at Thom Browne by the costs at Tom Ford Fashion to build up the organization and the team of talent and by higher concentration of costs, especially in marketing in the first six months of the year. Opposite to last year where we generated close to 55% of full year adjusted EBIT in H1 and 45% in H2. I think that this year, the balance across the two semesters will be more skewed towards the second half of the year. Let's now look at our results by segment. Zegna segment that, as you know, includes Zegna brands, the Textile division and third-party brands, generated 12.8% margin vis-a-vis 15.5% in H1 of last year. The difference in the margin between the two, six months period is largely related to three aspects. First, the above-mentioned concentration of marketing costs in the first half of this year, while last year it was much more skewed into the second part of the year. Selected business structures set up such as, as an example, the themes of personalization, make to measure CRM, correlated activities like the Zegna brand Retail Summit which we held in the Q1 of this year. Third factor was as I already mentioned, that a few newly opened or re-modeled stores, so no comp stores are experiencing a slower ramp up to their full potential. As already highlighted, Thom Browne adjusted EBIT margin performance has been determined by the decrease in revenues, only partially offset by the increase in gross profit margin driven by channel mix and better inventory management, therefore, lower obsolescence approvals. Going to Tom Ford, Tom Ford recorded EUR12 million adjusted EBIT negative result. This result reflects two things: first the investment the company deserves to making talent in organization at that quarter and market level and also in terms of complying to a public entity requirement. Second, our strategic decision to continue investing on Tom Ford Fashion brand and retail, even if top-line is performing below the initial expectations. Let me also repeat here what I have already said. Each one of Tom Ford fashion performance is not comparable to the numbers we have seen in the first half of last year because the latter reprices only two months consolidation and even more because the first two months after the acquisition did not reflect many of the investments that we started making later on -- and later on. I know that it is difficult for you to estimate how comfort fashion performance will evolve through the year, but like to just me say here that I do not expect H1 loss to double. Moving to Page 11. You can see here summarized our reported income statement for H1 and H2 of the two years. Let me make here two comments First, on the financial expenses line, which declined from EUR44.6 million to EUR29 million this year. This expense -- financial expense reduction largely reflects the cost that we have incurred at the beginning of last year for the warrant reductions, which is cost was higher over -- slightly over EUR20 million. On the tax rate, you see an implicit slight increase in the tax rate in H1 of this year for the full year to help you navigate through the year. I confirm what we already said in April. So we expect a normal tax rate to be more in the region of 30%. Let me now move to Page 12, where we comment on CapEx and trade working capital. The cash out for CapEx in H1 reached EUR60 million, over 6% of revenues. Of this EUR60 million, about 55% relates to store network, opening re-modeling and the remaining two investments in production, including the land for the shoe factory that Gildo mentioned that we are going to build close to pharma and in IT systems and digital applications. As we have already anticipated, '24 and '25 are going to be important years for investments in key projects that we decided not to postpone because they are fundamental to pursue our long-term ambitions starting from the shoe factory where we are going to in-house at least 50% of the Zegna shoe production. And second, because selectively, we will continue to invest in store network to open some key locations for our brands. As already anticipated in '24 and also '25, we expect CapEx to be slightly above 6% on revenues. Trade working capital reached EUR476 million at the end of June or 24% on revenues. Trade working capital has remained fairly stable versus June of last year, thanks to a better inventory management, stable trade receivables, also as a consequence of some conversion of wholesale store -- in store into directly operated concessions. Looking at Page 13, we look at the free cash flow, like we just comment that the negative EUR7 million free cash flow was mainly due to the above mentioned CapEx trend, the EUR60 million cash out related to CapEx. Final page, net financial indebtedness, I would like here to outline the EUR24 million of cash outflows related to the acquisition of a 2% stake in Thom Browne, in relation to a contractually defined put option, EUR15 million related to the acquisition of the Korean businesses in Zegna and Thom Browne. As a result of this, our net financial position at the end of June was equal to EUR66 million of net debt versus EUR11 million of net debt at the end of December. I will finish here my presentation to leave space to your questions.
Paola Durante : Thank you, operator. Can you open up to the Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Anthony Charchafji with BNP Paribas. Please go ahead, Anthony.
Anthony Charchafji: Hi, thank you. Good morning. It's Anthony Charchafji from BNP Paribas. I hope you are doing well. I have two questions, please. So the first one would be on China trading. If you can give us some comment how it was during the summer in July and August and if you have early indication of September? And my second question would still be in terms of top-line. So your midterm target that you -- that you laid out last December was calling for a 10% top-line CAGR and 20% EBIT CAGR with 2023 base. So just wanted to know if this still holds so you expect a rebound and if we can have this rebound in H2 or in 2025?
Paola Durante: Okay. Thank you, Anthony. On China, I'll ask Gianluca to answer and then on the midterm target ask Gildo to answer for you. Thank you. We are fine. Actually, sorry, you started your question asking how we are doing. So, thank you so much.
Gianluca Tagliabue: Hi Anthony. So China, we are still seeing the same trajectory of challenging and volatile environment. So July and August has not been -- we have not seen an inflection point on China so far.
Ermenegildo Zegna: Let me add one piece of information, I’ve been in China two weeks ago and I met all major landlords, surely the situation remains challenging for almost everybody. I would say they all are still positive on the midterm as we are, but it's, I would say, kind of a normalization process or consumption and everybody is watching closely the dynamic. But from our standpoint, we have the full trust of landlords. We have a good traction by our potential and loyal customers. I think the VILLA Zegna Shanghai a few months ago was approved. And so we are watching the situation with positive mind. And I think that we will be still be careful on 2025, hoping that the situation can evolve rapidly then I can tell you.
Gianluca Tagliabue: Within the quarter if we need to give you flavor within the quarter, August worse than July versus August, we have seen soft traffic, soft demand, so softer than July, August.
Paola Durante: And so by brand, clearly, Thom Browne in August over the soft --.
Ermenegildo Zegna: Yes. I would say -- yes, I would say that Zegna is holding up better than Thom Browne and I think Tom Ford is a small -- a not more potential, I mean it’s a more reality with still big potential. We just opened a new store in China world, and we’ll be watching the development of that very careful. But we are still a bit on the mid-term, and we will not slow down our plan on China. In terms of target, you asked Anthony about target, whether the target of the center are confirmed. I must be fair to you that there is no doubt that '24 has turned to be below our initial expectations. These are facts, both for internal and macro reason. And in particular, the wholesale sector is facing the same situation. And this, I think, goes beyond one country, I think that is a macro situation. However, as I anticipated for China, our ambitions have not changed. And it could possibly take a bit longer, but we are committed to delivering our promises.
Anthony Charchafji: Okay. Thank you. It's very helpful. Maybe I have just one follow-up on China and maybe to talk a bit about margins. So your gross margin was up 220 bps, which is a nice surprise. I mean, you mentioned, Gianluca that half of it was on channel mix and the other half on -- on inventory management. But could you quantify maybe the impact of China in the regional mix? Was it a drag? And maybe then the magnitude of the inventory boost, if you can quantify it? Thank you.
Gianluca Tagliabue: We don't disclose the gross margin by country. So of course, it is been surprised China is the longest margin in the industry. So of course, I think China soft is not helping. But despite this, we have been able to define our gross profit. So it means that the actions on prices, the actions on inventory. We are able to more than offset the fact that the longest country in term of margin has not been positive. So I think we are not going to disclose sort of margin by country because we have never done so. But definitely, if you point out the point that is we read it as a positive thing. The fact that the brands were able to make a further step in terms of margin, and that is -- that was one of -- and still is one of the areas where we want to recover vis-a-vis some peers. It is having a stronger margin, knowing that, of course, we have part of our business is B2B, the textile. So it's not really like-for-like the comparison of our gross margin. But -- compared to last year, we were able to increase. And this despite, as you correctly pointed out, the fact that China went behind. And -- so I think it's an indication that our initial margin, the brand power of our brands is sustaining the prices, although we have little by little increase the prices. At this point, maybe touching also a point that you might ask or someone else, -- we are -- I don't think at this point, we still have huge price increases on a like-for-like to be done. As we have already said, we want to manage prices to offset cost and to offset currencies, which we are still doing. We expect still to have positive impact from mix because we are increasing even more, and the current drop through of [indiscernible] an example. We are more and more creative products, iconic products at high price point, the fact that we are seeing recognition of customer means that -- we are in the right direction, as Gildo mentioned.
Ermenegildo Zegna: I think that let me just say something about the importance of the merchandise mix. I think that for any brand, it becomes key. What you drop in the market and the timing of the drop. And we see the importance of continuative product. However there is a risk that brand relies too much on continuity product and not enough in innovative products. So we've seen that the drop to that was delivered after the summer, I mean, had positive effect across the world. So this is a push for us to continue with this new strategy, not only in Zegna, but also in the other two brands because we see that when we come out with newness performing to brand, delivered well in the store to our customer, potentially a new customer, you get a reaction, whether it's China, United States or whatever. So I think that since fall/winter was the first drop strategy season, we confirm the validity of that strategy together with the validity of the continuity program, replenishment program that however, has to be moderated in order to leave more room for newness. And I think that we are gearing up the entire supply chain, the Filiera material, the fabric, the yarn is becoming extremely important. We are ready to unveil a couple of new projects for [mid-wear] (ph) early next season, and we think that on the upper end of our scale, and we think that those projects will be really coming out at the right moment. So the customer is there and is able to react provided you come out with newness, and that's -- we see it across the board.
Anthony Charchafji : Okay, thank you very much. Very helpful.
Paola Durante: Thank you, Anthony, and we can move to the second set of questions, actually.
Operator: Our next question comes from Louise Singlehurst with Goldman Sachs. Louise please go ahead.
Louise Singlehurst: Hi, good afternoon everyone. Gildo, Gianluca, and Paola thanks for taking my question. Just one quick follow-up on China, just to clarify. Are there any changes in terms of the plans for stores? Or have you delayed any kind of store rollouts or refurbishments for the time being, just to check that there is nothing happening medium-term? And then my main question is actually in regards to the EBIT and the profitability. Obviously, a really good gross margin expansion. Can we expect that to hold just in terms of gross margin in the second half? Are there any kind of factual in terms of like currency, et cetera, headwinds that we should be considering in the second half. And when we think about the underlying OpEx, OpEx cost growth looked at around 20% in the first half, obviously accelerated with Tom Ford, but can you help us think about the underlying inflation and the outlook for the second half and if there is any cost-saving activity to consider and to help protect the margin in a tougher macro environment. Thank you.
Ermenegildo Zegna: Yes. I will pick the first on China. At least in 2024 [indiscernible] go. And so we had a few projects, a few opening, a few refurbishment of stores and so we did them, and I think that we are happy to have done it. For '25, we are considering certain doors, whether to confirm that to postpone them. And there is a potential study to consolidate some doors, maybe in certain markets -- we have too many doors and maybe we have to consolidate. And so we are working on a plan that doesn't stop, if you want me -- development of our brand in China, but maybe consolidating some doors and rebalancing, if you want the small with the mid there with a big size doors that would help. I just make an example, in Europe, we had a good traction with some resort doors. We have opened smaller doors and this is quite new to us. So the testing we are doing in some area could be helpful to the other. I mean another example, Villa Zegna, Villa Zegna and Salotto Zegna, have been tested -- will be tested in New York, and we will try to take the best out of it to [China] (ph). So there could be maybe fewer and less doors and maybe in addition, a few addition of Salotto Zegna to current doors in major markets that can make our offer even more precious and even more of our luxury than the one we have in-line with the personalization or approach of our brand, which is proving to be very effective and the same experience can hold true for Tom Ford and Thom Browne. What Rodrigo and Tom are doing in Thom Browne with the cultural events also with the help of our made-to-measure service in the most commercial part of the collection is proven to be effective. Likewise applies to Tom Ford. To Tom Ford, we have given them the maximum, the best of our made-to-measure organization, and they see that the [indiscernible] the organizing the event and proving to be very effective in particular in the United States. So I think there is an important cross-utilization also among brands in terms of product, in terms of what is right and what is less right in order to foster growth in -- for each of the three brands regardless of the geography.
Paola Durante: Thank you Louise. And for the second, I leave to Gianluca.
Gianluca Tagliabue: So the question was on the EBIT.
Paola Durante: Was on gross margin, if what we have seen in the first half, please correct me if I'm wrong, but is something that we can project in the second part of the year. And actually, there was some differences and then on the OpEx, yes.
Gianluca Tagliabue: So he’s right. On the gross margin, the number that we are publishing, which is between 66% and 67% is something we don't see a major element that can move the needle up or down. I called out already, but it is not material. There is a EUR3 million PPA that is not recurring. For the rest, I'm not calling out anything that is material that might move the needle for instance, also some currencies we are already covered on the fall/winter '24. So from a hedging perspective. So I think we are in a good shape to bring the same gross profit margin through the year. In terms of OpEx here, I would couple marketing from SG&A. In marketing, the incidence in the first half has been 7%. And last year, full year, the incidence was more close to 6%. And so our full year will be closer to the 6% rather than 7% and that's exactly the point that we mentioned before. So we have a balance of expenses in marketing that is much more weighted on the first half. But the full year will go back to an incident that is closer to the one of last year. In terms of SG&A, I don't call out any major trajectory of change compared to last year. Of course, we are reducing selectively some CapEx, which might differ depreciation more through next year. We are reconsidering some discretionary costs. We are intervening and that is mostly on the G&A side. So -- but I don't think it is a major change, if you look at the first half, it's more an inertial pattern from an inflation standpoint. And of course, we are paying all the attention to no priority and discretionary costs that we can reconsider. So that will be probably in the element of inflection point in the second part of SG&A, the biggest one being on market.
Paola Durante: I don't know if we -- if we answered to your questions if you have any follow-up.
Louise Singlehurst: That's great, thank you.
Paola Durante: Thank you. I don't know if we have any follow-up questions. Otherwise, I think we can we can close the call. If you have any follow-up questions, any questions we are here, operator but let us know. Otherwise, we thank everybody.
Operator: At this time, we do not currently have any questions registered.
Paola Durante: Okay. So thank you so much for the questions. And we are going to see in a very short period of time. So on October 22, we will have our Q3 revenues results conference call. We will meet again there. Thank you for the time being and for any follow up any questions, any deep dive, Alice and myself as usual, we are here whenever you want. Thank you, Gianluca.
Operator: Thank you, everyone, for joining us today. This concludes our call, and you may now disconnect your lines.